Operator: Good day. And welcome to Paymentus Fourth Quarter 2022 Earnings Call. This call is being recorded. All participants are currently in a listen-only mode. There will be opportunity for questions following management’s prepared remarks.  At this time, I’d like to hand the call over to Paul Seamon, Interim Chief Financial Officer for some introductory comments. Please go ahead.
Paul Seamon: Thank you. Good afternoon. And welcome to Paymentus fourth quarter 2022 earnings call. Joining me on the call today is Dushyant Sharma, our Founder and CEO. Following our prepared remarks, we will take questions. Our press release is issued after the close of market today and is posted on our website where this call is being simultaneously webcast. The webcast replay of this call and the supplemental slides accompanying this presentation will be available on our company’s website under the Investor Relations link at ir.paymentus.com. Statements made on this webcast include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements use words such as will, believe, expect, anticipate and similar phrases that denote future expectation or intent regarding our financial results and guidance, the impact of and our ability to address continued economic uncertainty and inflation, our market opportunities, business strategies, implementation timing, product enhancements, impact from acquisitions and other matters. These forward-looking statements speak as of today and we undertake no obligation to update them. These statements are subject to risks, uncertainties and assumptions that may cause actual results to differ materially from those set forth in such statements, including the risks and uncertainties set forth under the captions, special note regarding forward-looking statements and risk factors in our annual report on Form 10-K for the year ended December 31, 2021, which we filed with the SEC on March 3, 2022 and our annual report on Form 10-K for the year ended December 31, 2022, which we expect to file with the SEC shortly and elsewhere in our other filings with the SEC. We encourage you to review these detailed Safe Harbor and risk factor disclosures. In addition, during today’s call, we will discuss certain non-GAAP financial measures, specifically contribution profit, adjusted gross profit, adjusted EBITDA and adjusted EBITDA margin are non-GAAP financial measures. These non-GAAP financial measures, which we believe are useful in measuring our performance and liquidity should be considered in addition to and not as a substitute for or in isolation from GAAP results. We encourage you to review additional disclosures regarding these non-GAAP measures, including reconciliations of the most directly comparable GAAP measures in our earnings press release issued today and the supplemental slides for this webcast, each available on the Investor Relations page of our website. With that, I’d like to turn the call over to Dushyant Sharma, our Founder and CEO.
Dushyant Sharma: Thank you, Paul. We had a strong quarter that was successful, both financially and strategically. On the financial front, we exited the year ahead of our initial annual topline expectations that we set at the beginning of 2022. On the strategic front, among other milestones in the quarter, we recently launched a product for small- and medium-sized businesses, commonly referred to as SMBs over our IP and ecosystem that we expect to expand our TAM and enhance our ability to change a portion of our model from interchange being a cost center to a revenue center. Let me discuss the financial highlights first. As you can see on slide three, we finished 2022 with a stronger than anticipated results in the fourth quarter. Our revenue for the quarter was $132.2 million, up 22.2% year-over-year and contribution profit was $54.1 million, up 19.4% year-over-year. We also expanded margins sequentially. Our adjusted EBITDA was $10.2 million for the quarter, with a corresponding margin of almost 19%. On slide four, we show our performance for full year 2022, our first full year of being public. We finished with revenues of $497 million, which represented growth of almost 26% and was higher than our expectations that we shared with you at the beginning of 2022. Contribution profit was $201.3 million, representing 27% growth, which was within our updated range of expectations. Adjusted EBITDA finished at $28.6 million with a 14.2% margin, which was within our initial range of expectations. On a full year basis, our dollar volume increased over 70%, which reflects our continued move to serve larger and larger clients, and increased scale in payment ecosystem. In the quarter, we achieved several milestones as outlined on slide five. First, we signed a large bank, Citizens Financial Group for consumable payment with our Bill Center product. We believe this is a very good sign of things to come for bill payment sales to financial institutions as we have larger and larger institutions evaluating our modern product to replace their legacy solutions. Second, in the quarter, we expanded the reach of the instant payment network through a partnership with Green Dot to accept cash payments at over 90,000 retail locations across the U.S. We continue to support consumer choice of payment channels and methods, and are working to add more and more partners to the network to capture additional payment volume over IPN. Third, we partner with a large real estate platform to be one of its payments offering for rent payments. Additionally, we completed the implementation of a loan payment client that was a cross-sell of our Biller Direct platform into our bank bill payment customer base. We expect to see continued penetration in the banking and credit union markets forward loan payment offering. In addition, we also launched a large mortgage services company towards the end of Q4. As I mentioned a minute ago, we are also pleased to announce the launch of our SMB platform that combines the features of our current platform with a new product offering and team that we acquired in the quarter. Our SMB product is a full-service financial offering to SMBs and offers complete self-onboarding with no implementation involved. It starts with automating business banking and attaches to it a full-service SMB operating system that automates payables, receivables and expense management using the Paymentus platform. As I shared last quarter, we sent out millions of payments to over 1 million payees, many of whom are SMBs. All of these are outside of our direct biller network, yet they participate in our ecosystem and receive payments. We believe this presents a very efficient distribution channel for us, which we plan to leverage to attract such customers. As you know, there are 6 -- over 6 million SMBs and millions more small office and home offices in the U.S. alone. In addition to the expansion of our TAM with this offering, we seek to change the economic model by generating interchange revenues. In other words, in contrast to Biller Direct in this offering, interchange is no longer a cost center, instead is a revenue center for us. With that background, let me turn to our 2023 guidance on slide seven. In 2023, we expect our revenues to be in the range of $575 million to $600 million, which is 16% to 21% growth. We expect contribution profit from $224 million to $237 million or 11% to 18% growth. We expect adjusted EBITDA of $32 million to $38 million, an adjusted EBITDA margin range of 14% to 16%. As you can see, we have initially provided a broad range for contribution profit guidance, which somewhat diminishes its utility. In an inflationary environment and given its related dependence on factors outside of our control, we believe initial contribution profit guidance requires more flexibility. However, we have a high degree of confidence regarding our ability to deliver on the guidance measures we are most focused on in 2023. The top and the bottomline much like how we executed in 2022. Let me now talk briefly about our expectations for the first quarter of 2023 on slide eight. For the first quarter of 2023, we expect revenues to be between $136 million and $140 million, contribution profit to be between $51 million and $53 million, and EBITDA to be between $7 million and $8 million. But before I turn the call over to Paul, let me address the guidance itself. If I am you, I would be wondering is the business slowing down? Why isn’t the growth higher? And the short answer is no. I don’t believe the business is slowing down. The best way I can describe the business from my vantage point is that to hit the top end of each of our guidance range provided in 2023, believe -- I believe that we do not need to sign a single additional client in 2023 and only implement the existing backlog of currently signed clients. The reason for our broad ranges is the macroeconomic environment we are operating in. Our growth in bookings continues to accelerate. But the timing of implementation on onboarding is primarily controlled by the clients, which is impacted by the macro. I believe our platform itself is capable of launching engaged clients swiftly. I would also add that my team and I are excited about the future of our business and where we are strategically taking it. I believe that great businesses achieved great things during challenging times and use it as an opportunity to innovate and set that stage for future disruptive models as we are doing here at Paymentus. With that, Paul, will provide more color on our 2022 results and each of the guidance numbers.
Paul Seamon: Thanks, Dushyant. As a reminder, today’s discussion includes GAAP and non-GAAP financial measures. Please refer to the tables in our press release and supplemental slides for reconciliation of the non-GAAP items to the most directly comparable GAAP financial measure. I am pleased with our fourth quarter results. The strong performance was highlighted by re-pricing actions and improved expense management leading to an adjusted EBITDA nearing 20%. In the fourth quarter, we processed 97.2 million transactions, a 16.7% increase over the same period last year. Transaction growth in the quarter faced a difficult compare relative to Q4 2021, where we experienced over 50% growth due to the implementation of a large high volume client and the continued rollout of our large logistics client. For the full year 2022, we processed 366.9 million transactions, an increase of 30.8% compared to 2021. Our fourth quarter revenue was $132.2 million, an increase of 22.2% compared to the same period last year. Revenue grew faster than the growth in transaction count for the quarter, largely driven by the launch of several clients primarily in the telecommunications, insurance and government payment verticals, where the earned revenue per transaction is typically higher than average. The revenue for the full year was $497.0 million, an increase of 25.7% compared to 2021. Contribution profit increased 19.4% over the fourth quarter of 2021 to $54.1 million. Contribution profit for 2022 increased to $201.3 million, an increase of 27.0% over 2021. Contribution profit per transaction for the quarter was $0.56 and for the full year of $0.55, which was consistent with our expectations. As we have continued to highlight in prior quarters and as mentioned in the past, fluctuations outside of our control, such as increases in the average payment amount or unfavorable swings in the payment mix can influence contribution profit quarter-by-quarter. Throughout the year, we operated in a highly inflationary environment, particularly in the utility sector, which at times experienced inflation north of 20% in 2022. In the back half of 2022, we worked diligently to manage expenses and took on several pricing actions to offset some inflationary headwinds we experienced throughout the year. Some leisure pricing actions were successfully executed in the fourth quarter of 2022. For other clients, we are currently actively engaged in re-pricing conversations. Adjusted gross profit increased $8.5 million to 23.5%, compared to the fourth quarter of 2021 to $44.6 million. For the full year, adjusted gross profit increased $34.4 million or 27.0% to $161.8 million. Adjusted EBITDA was $10.2 million for the fourth quarter, which represented an 18.9% adjusted EBITDA margin. While still not in the high 20s margin level we were at before going public, this is a new high-water mark as a public company and shows our ability to expand margin. Adjusted EBITDA for 2022 was $28.6 million, representing a 14.2% adjusted EBITDA margin. Operating expense of $6.2 million to $39.6 million for the fourth quarter of 2022 from the same period last year and $41.6 million increased to $152.7 million for the full year compared to 2021. Specifically, the largest increases were noted in sales and marketing, which increased $5.3 million in the fourth quarter of 2022 to $20.2 million compared to the same period in 2021. For the full year, sales and marketing expenses were up $29.4 million in 2022 and $73.3 million compared to 2021. On a year-over-year basis, the increase was driven by the Payveris acquisition, continued expansion of the sales team, adding partnerships to capture our sizable market opportunity and an increase in stock-based compensation. We continue to invest in sales and marketing in 2023 to drive topline revenue growth, as we target existing and new biller segments, including IPN and now SMB opportunities. Our GAAP net income for the fourth quarter 2022 was $1.0 million and for the full year 2022 was a loss of $0.05 million. GAAP EPS was a $0.01 and zero cents for the fourth quarter 2022 and full year 2022, respectively. Non-GAAP net income was $3.0 million for the quarter and $8.1 million for the year. Non-GAAP EPS was $0.02 and $0.07 for the quarter and year, respectively. As of December 31, 2022, we had $147.3 million of cash and cash equivalents on our balance sheet. Cash decreased primarily due to using cash for the small pre-revenue SMB product acquisition in the quarter. At year end, we had approximately 123 million shares of common stock outstanding. Now turning to our 2023 full year outlook, as Dushyant said, we expect revenue for the full year 2023 to be between $575 million and $600 million or 16% to 21% growth year-over-year. Contribution profit is anticipated to be between $224 million and $237 million or 11% and 18% growth year-over-year. We continue to anticipate high inflation, higher than historical norms, which creates a headwind for growth, especially contribution profit growth. Adjusted EBITDA is expected to be between $32 million and $38 million, resulting in an expected EBITDA -- adjusted EBITDA margin of approximately 14% to 16%. This range anticipates margin expansion over 2022, while still allowing us to invest in small business and other growth initiatives. To provide some additional color on the phasing throughout the year, we anticipate that both growth metrics and the adjusted EBITDA margin will be at their lowest level of the year in the first quarter of 2023. This was partially due to a difficult compare in Q1 of 2022 when we had a 35% contribution profit growth and partially due to the timing of implementations with no large billers going live in the first quarter of 2023. Revenue growth should accelerate throughout the year, while growth in contribution profit will partially depend on inflationary pressures and other factors. As such, we expect revenue growth in Q1 to be between $136 million and $140 million or 17% to 20% growth and contribution profit to be between $51 million and $53 million in the range of 8% to 12% growth. Adjusted EBITDA is expected to between $7 million and $8 million in the first quarter, a margin of 13% to 15%, which would be a minimum of a 2% increase over the 11% margin we had in Q1 of 2021. We expect this margin to expand each quarter throughout the year on a year-over-year basis, following a similar cycle as we had last year, is magnified somewhat this year by a change we made in our employee review and compensation cycle for 2023. In previous years, raises and bonuses were given on an employee’s anniversary more or less evenly distributed throughout the year. This year all raises were effective January 1st. So we expect a step-up in employee costs earlier than normal, suppressing margin earlier in 2023 and helping it in the fourth quarter. We believe the company is well positioned for the future. We have built a strong, profitable company with financial flexibility in the balance sheet. We have passed several key milestones and believe we continue to be positioned well to grow for a long time. I will now turn the call over to Dushyant for closing comments.
Dushyant Sharma: Thanks, Paul. I am proud that our team came together and delivered on most of our original expectations in 2022. I believe that this illustrates the resilience of our business despite the difficult macro environment. We are very confident about the long-term growth prospects of the business, especially given the expanding IP ecosystem we are building, which we believe allows us to reach a broader TAM and leverages the entire spectrum of interchange from a cost center in our biller business to interchange neutral in IPN business to interchange being a revenue source in our SMB offering and beyond. We remain excited about the demand for our products in all of the industry verticals we are operating in. So, as Paul mentioned, we are leaning in and making continued investments in the sales and marketing, while also seeking expanded margins in 2023. With that, I will open the line for questions.
Operator: Thank you. [Operator Instructions] The first question is from the line of Ashwin Shirvaikar with Citi. Your line is now open.
Ashwin Shirvaikar: Thank you.
Dushyant Sharma: Hi, Ashwin.
Ashwin Shirvaikar: Yeah. Hi, Dushyant. Hi, Paul. Hey. I have a couple of questions. I guess the first one is with regards to Citizens. But if you could -- the question is a bit more stepped back than that if you can talk broadly about sort of the Biller Direct versus the Bank Aggregator models and whether this sort of indicates you are kind of leaning into both models now as opposed to primarily one of them before, is that the right way to think of it? And then the financial part of the question is whether something like Citizens, which can obviously be a very large client, is in your 2023 expectations, is it rolled in there?
Dushyant Sharma: Good question. Thank you, Ashwin. So Aggregator versus Biller Direct, and so, as you recall, our strategy has been right from the beginning, from Horizon 1 and 2 being centered on mid-market and enterprise billing companies, respectively. And Horizon 3 is about trying to bring basically remove the chasm that has existed between any one of the Aggregator models historically using the paper based paradigm the banks currently employ to a more modern paradigm, which IPN offers. What that means is, you are basically taking any bank customer payment and bringing it in real time to the billing companies participating in IPN directly. So that model is actually extremely well received by the banks and what we are really trying to do is, we are looking at it from both sides of the house or the spectrum of usage. One is the billing companies. Billing companies want more and more payments, more directly, more in real-time and from all channels, and banks being one of them. And banks want -- banks customers want a totally different experience than what they have been receiving from the systems that were designed in the 1980s. So, with that, we see a great opportunity on both sides and that’s exactly what we are pursuing, and we -- today we have hundreds of banks and credit unions who are already on our platform and we are extremely proud to welcome Citizens Bank as well. And in terms of the financial part of it, I think, a very small modest number is in our 2023. So most of the growth will come in outer years.
Ashwin Shirvaikar: Understood. And if I can shift gears to Paymentus for SMBs, quite a notable expansion there, I just -- one question I had was how much of this is ready currently, I mean, I would say, the payments engine clearly you have, I believe, but if I look at page six of your presentation, there’s expense management, there’s business cards, it’s kind of a fairly broad offering. Are there partnerships already set up and ready to go or is this aspirational at this stage?
Dushyant Sharma: This is actually live right now. Most of this is live and operating. And what we don’t have a lot in our model is the financial numbers from it. But in terms of the product capability, it is live, is operational, is in production and we are, frankly, trying to grow this segment. And as I shared in my prepared remarks, if you think about it, we are sending out payments to -- we are sending out millions of payments right now and to a million plus payees and many of them are SMBs and we have been working on it for quite some time. And now we are saying, well, if they are already part of the IPN ecosystem, why aren’t inviting them and offering them a thing of value so that we can actually bring more of their -- first of all, bring them into our ecosystem more directly, participate in our IPN, and therefore, be reachable to any of the financial institution who participates in the IPN network as well. And on top of that, generate revenue and the approach we have taken is that, we want to monetize interchange here and that’s what we are doing. So it’s early days but we have recently launched it.
Ashwin Shirvaikar: Got it. If I could squeeze a third question in, are you seeing any change in behavior on the consumer side with regards to either tendency to pay or a shift in what instrument they use to pay just from an economic or macro standpoint, are you seeing any changes?
Paul Seamon: I will jump in here, Dushyant. It’s -- I was looking at this earlier today, it’s very steady in terms of credit, debit ACH mix. I’d say, the one thing that stands out more recently in the last couple of quarters is, the advanced payment method to Venmo, to PayPal wallets, those kind of things are starting to grow. And not be a material portion of the transaction, but starting to register a little bit more and more. But if you are asking about credit usage in the consumer, we aren’t seeing a shift there or anything to be concerned about in that regard yet.
Ashwin Shirvaikar: Okay. Got it. Thank you.
Operator: Thank you for your question. The next question is from the line of John Davis with Raymond James. Your line is now open.
Unidentified Analyst: Hi. This is Taylor [ph] on for JD. And maybe just to start on pricing actions, can you help us understand what the pace of the rest of the pricing action implementations will look like throughout the year and into 2024?
Dushyant Sharma: Look, we are having discussions with clients and a lot of those discussions have gone well. Some of the pricing action has already taken place and will be -- will start showing up in our numbers and others we are already having the discussion with clients and is going well. So this will continue throughout the year. We are looking at every single instance, every single client, every single area, wherever we see a pressure building from the inflation macro, we are taking actions there, and frankly, we are receiving, by and large, a receptive client years.
Unidentified Analyst: Okay. Great. Good to hear. And then just on the inflation impact of the business. Is there a way to help quantify the impact inflation of having on your ability to expand EBITDA margin into 2023?
Dushyant Sharma: Well, I mean, if inflation wasn’t a factor, our EBITDA margin would be, I mean, several points higher. I mean several points higher. So it is, as we shared, I think, towards the end of last year, and I think in some of the calls, overall, we are seeing a 5-point to 8-point impact to our contribution profit and a lot of that translates into EBITDA. So as this gets behind us, I think, our ability -- as Paul mentioned, our ability to expand margins. You saw in Q4, we did a great job and margins were almost touching 19%, 20%. So we have the ability to do that and we feel good about that later on as well.
Operator: Thank you for your question. Next question is from the line of Darrin Peller with Wolfe Research. Your line is now open.
Unidentified Analyst: Hey. It’s Andrew [ph] on for Darrin. Thanks for the question. Just a quick one, did you disclose biller count for the full year? I believe it was 1,700 at year end 2021, so any framework around that would be appreciated?
Paul Seamon: Hi, Darrin. We are still finalizing some of the metrics for the 10-K, so we don’t have it quite yet, but should have it out next week when we publish the final version of it.
Unidentified Analyst: Helpful. Thank you, Paul.
Operator: Thank you for your question. The next question is from the line of Andrew Bauch with SMBC. Your line is now open.
Lamar Clark: Hey, guys. It’s Lemar on for Andrew. Thanks for taking the question. Last quarter you had mentioned that you expect to exit 2022 with $100 million of new bookings, so I just wanted to see if that was the case? And then can you also just provide an initial view on what the implementation pipeline is looking so far two months into the year?
Dushyant Sharma: So we did achieve that. We finished over $100 million, stronger than we thought we were going to do, so very happy with the bookings performance and we are off to a good start this year as well. And in terms of the implementation pipeline as I refer you back to the prepared remarks, I said that, if we actually to deliver the topline of our expectations on the topline of the revenue, we don’t need to sign any new client. So that should give you some indication.
Lamar Clark: Got you. And then just to touch back on the point around the drag that inflation is having on growth. Is there anything else here that we should be considering outside of the macro? Is it just delayed implementations of onboarding?
Dushyant Sharma: I think it’s two factors. I mean implement -- delayed implementations is one of them and the other one is the pressure on the contribution profit yourself from the inflation. So, as you know, in some cases, some specific sector for a utility client base, as the average payment amount gets inflated, that affects our contribution profit temporarily. And that’s what I was trying to say that client discussions are going well and we are making the adjustments. And some of that has gone -- some of that is already implemented, some of that is already in the process and some of that will happen throughout the year.
Lamar Clark: Thanks. And sorry, just more from me. On IPN, I think previously you had said that, you expect it to grow to a double-digit share of the overall business, is that still the case?
Dushyant Sharma: I think we -- not quite. So it’s ‘not -- but it’s growing faster than our business, our -- the core business you are seeing.
Lamar Clark: Okay. All right. Thank you.
Operator: Thank you for your question. The next question is from the line of Tien Huang with JPMorgan. Your line is now open.
Tien Huang: Hey. Good afternoon. Dushyant, I just want to ask for a little bit more color on how you think about the pipeline and the backlog, because we have been hearing broadly about bigger deals coming back and enterprises looking to be more careful with spend, but also look for opportunities to be more efficient and have better customer engagement. So how do you think that all shakes out for Paymentus and your thoughts on replenishing your backlog and sizing of the pipeline, that kind of thing?
Dushyant Sharma: Yeah. Actually, great question, Tien-Tsin. So, the way to think about this would be and if I may take a step back actually. If you recall that we have Horizon 1, the mid-market and then Horizon 2, which is enterprise. During the COVID, what we felt was that the discussions that didn’t require boardroom presence where the multiple executives are involved in making a decision. Those discussions were happening fine and fast, just as fast as earlier, including the implementation. So signing the client and implementations is fine. But where there used to be a high touch customer engagement, whether it was related to signing of the client or implementing of such clients, there we started to see a little bit of slowness during the COVID years. What we have seen is a reversal of the trend, the second half of last year and the beginning of this year as well. What we are seeing is we are able to meet the clients both from a prospecting but also doing implementation process. So it is happening at a little bit faster pace than earlier, actually, it’s accelerating. And as we shared last year it was great, it was a significant growth over the year before and this year is off to a great start. So we see continued acceleration of our bookings, especially in the enterprise segment as COVID is getting behind us. And frankly, if I may make a broader statement here, as some of the big tech companies have started to bring people back home and which makes it easier for other technology companies as well to have the discussion with their employee pool I think and which further translates into clients bringing their technology teams back into the offices, we believe that, that trend will actually be a positive for both in bookings new business, but also bringing customers live at a faster pace.
Tien Huang: Great. Thank you for that. Just a quick follow-up to that, like with the implementations, have you found more efficiency and how you go about dealing with implementations in general? How big of a focus and/or how big of an improvement have you seen there, if any, I know there’s a lot of changes going on in the labor side, but just curious of automation and things like that have helped you there, give you a better line of sight on implementation cost and delivery.
Dushyant Sharma: Yeah. Actually, this is a -- as you can imagine, we will be talking about implementation as a factor, if we weren’t very serious about internally as well and looking at it from all angles. One of the interesting aspect about the implementations is that, vast majority of our clients require actually no changes to our platform to go live and majority of those -- a vast majority of those are in the mid-market segment or the Horizon 1 segment. These clients that require a lot more handholding and sophisticated and complex workflows, they tend to be very large clients, and that’s where a majority of the revenue is in some ways, and that’s where the majority of the work ends up being. And even there, we are actually making a lot of investments and try to figure out, can we technologically bring sophisticated business rules engines based on all the different trends we have seen so far and make it even easier without coding to bring the customers live. And we have been very successful at that in many cases, like, for example, integration of a large client doesn’t take a lot of time for us, large or small. It is more the complex business rules, which we are now working on. So we are seeing continued progression and we are getting to a place where once this macro is somewhat behind us. I think we would have a pretty good handle on how well we are able to execute against implementation time lines even for larger clients.
Tien Huang: Okay. Yeah. That’s great. Thank you, Dushyant. Thank you for your thoughts.
Dushyant Sharma: Thank you.
Operator: Thank you for your question. [Operator Instructions] The next question is from the line of Jason Kupferberg with Bank of America. Your line is now open.
Unidentified Analyst: Hey, guys. This is Melissa [ph] on for Jason. I just had a question about like revenues per transaction. I guess, since with the introduction of the new SMB product, are we kind of expecting revenue per transaction for 2023 to increase or kind of remain stable versus 2022?
Paul Seamon: The SMB product is still early stage and we are not accounting for it in 2023 guidance. We don’t expect any material revenue from it. So it’s not going to affect revenue per transaction. We will see, depending on inflation, some pressure, contribution profit per transaction, potentially throughout the year, depending on how our pricing actions flow through and other things. So it was stable for most of 2022, but we expect a little bit of pressure maybe on the topline revenue per transaction, as well as contribution per transaction throughout 2023.
Unidentified Analyst: Okay. Cool. Thanks.
Operator: Thank you for your question. There are no additional questions waiting at this time, so I will pass the conference back to the management team for any closing remarks.
Dushyant Sharma: Thank you. Thank you everyone for taking the time. Really appreciate it and have a great year.
Paul Seamon: Thank you.
Operator: That concludes the conference call. Thank you for your participation. You may now disconnect your lines.